Operator: Good day everyone and welcome to the Travelzoo Inc. Fourth Quarter and Year 2005 Earnings Conference Call. This call is being recorded. At this time for opening remarks and introductions, I would like to turn the call over to Travelzoo’s Ralph Bartel. Please go ahead sir.
Ralph Bartel, Chairman, CEO, President, CFO: Thank you operator. Good morning and thank you all for joining us today for Travelzoo’s fourth quarter 2005, financial results conference call. I am Ralph Bartel, Chairman and Chief Executive Officer. With me to is Lisa Su, the company’s Controller and Chief Accounting Officer and Holger Bartel, Executive Vice President.
Lisa Su, Controller and Chief Accounting Officer: Good morning, welcome to conference call.
Holger Bartel, Executive Vice President: Good morning everyone.
Ralph Bartel, Chairman, Chief Executive Officer, President, Chief Financial Officer: Before we begin I would like to walk you through today’s format. First we will discuss the Company’s fourth quarter 2005 financial results. Then we will provide additional information on the Company’s growth in subscribers and Reach. We will then conclude with the question and answer session. Before we discuss the Company’s financial results, released earlier today, I would like to remained you that all statements made during this conference call that are not statements of historical fact. Constitute forward-looking statements, and are made pursuant to the Safe-Harbor provisions of the Private Securities Litigation Reform Act of 1995. Actual results could vary materially from those contained in the forward-looking statements. Factors that could cause actual results to differ materially from those in the forward-looking statements are described in our Forms 10-K and 10-Q, and other periodic filings with the SEC. An archived recording of this conference call will be available on the Travelzoo’s investor relations website at www.travelzoo.com/ir beginning approximately 90 minutes after the conclusion of this call. Today Travelzoo announced its 30th consecutive quarter of revenue growth. Basic and diluted earnings per share for Q4, 2005 were $0.10, up from $0.09 for Q4 2004. Travelzoo’s earnings per share for Q4, 2005 increased only slightly from the prior year period as a result of a combination of several factors. Higher SOX compliance costs in Q4 2005, a loss from our UK business, a negative impact on revenues and bad debt expenses, as a result of bankruptcy filings of two airline advertisers, and a very high effective tax rate. We will provide more details in this call. As we stated in our press release this morning, we do not expect SOX compliance cost to remain at this high of a level in future periods. Our revenues which are all generated from the sale of online advertising to travel companies, increased to $13.9 million for the fourth quarter in the December 31st, 2005, an increase of 32% over revenues of $10.5 million in the same period last year. Our revenues for Q4, 2005 were negatively impacted by the bankruptcy filing of two of our airline advertisers, we delivered the advertising in Q4, but due to the uncertainty of collections we did not recognize the revenue. The quarterly sequential revenue increase from Q3, 2005 to Q4, 2005 was 4%. To provide more information on what constitute to this $517,000 in sequential growth. Revenues from our US Publications, consisting of the Travelzoo website and our email newsletters were $104,000 lower in Q4 than in Q3. We believe that there are primarily two reasons for this. First, we decided not to publish our weekly top twenty newsletters in the last week of the fourth quarter. Second, revenues of our US publications were negatively impacted by the bankruptcy filings by two of our airline advertisers as mentioned earlier. Revenues from SuperSearch, our cost-per-click travel search engine increased $610,000 quarter-over-quarter. Finally, revenues in UK increased $11,000 from Q3, 2005 to Q4, 2005. In terms of revenue concentration Travelzoo had one advertiser in Q4, 2005 that accounted for 14% of revenue. No other advertiser accounted for more than 10% of revenue. For the year 2005, Travelzoo hit for the first time the important mark of $50 million in revenue. The reported revenues for the year ended December 31st, 2005 were $50.8 million a 51% increase from $33.7 million for 2004. In Q4 2005, our new UK business generated $380,000 in revenues in Q4 2005, up from $368,000 in Q3 2005 and up from $9,000 in Q2 2005. Although the increase from Q3 to Q4 seems small, we are happy with the progress that we are making in the UK. Our focus in Q4 was on developing a high quality client portfolio, which will enable us to produce high quality content for our subscribers. Throughout Q4 2005, 45 travel companies advertised with Travelzoo UK. We added 175,000 new subscribers in Q4. As of December 31st, 2005, Travelzoo UK had 298,000 subscribers. I will turn now to Lisa to discuss additional financial information including expenses, operating income, net income and cash flow.
Lisa Su, Controller & Chief Accounting Officer: Thank you, we believe that Travelzoo continues to be a highly productive Company. We had 70 employees as of December 31, 2005. 60 of these employees were in our US offices and 10 employees were in our new UK office. Average annualized revenue per employee in Q4 2005 was $794,000, down from $858,000 in the same period last year. Let’s now look at the expense line items. General and Administrative expenses were $2.5 million in Q4 2005, up from $2.3 million in Q4 2004 and $1.9 million in Q3 2005. The $618,000 increase in G&A versus last quarter was primarily due to $457,000 increase in professional services fees related to SOX compliance and $137,000 increase in bad debt expense. The increase in our Q4 bad debt expense is primarily related to the bankruptcy filings of an airline advertiser. The $148,000 increase in G&A versus last year is primarily due to $600,000 increase in professional services fees related primarily to SOX compliance. A $241,000 increase in bad debt expense and a $188,000 increase in office expense due to the opening of our London and Las Vegas offices and also additional office space rented to accommodate our increased headcount. These increases were offset by $937,000 decrease in expenses related to program under which the Company makes cash payments to people who established a former stockholders in Travelzoo.com corporation, who failed to submit request to convert their shares into Travelzoo Inc. within the required time period. Our largest expense item continues to be sales and marketing, consisting primarily of advertising and promotional expenses and salary expenses associated with sales and marketing staff. Sales and marketing expenses in Q4 2005, were $7.6 million, up 77% from $4.3 million in Q4 2004. The increase is primarily due to increased spending on advertising campaigns for Travelzoo. Including subscriber acquisition campaign in both the US and UK, marketing for SuperSearch and other advertising for our new Travelzoo UK website. I will provide more detail now on our $7.6 million, sales and marketing expense in Q4 2005. US subscriber acquisition accounted for approximately $1.8 million. SuperSearch marketing accounted for approximately $2.8 million. US brand marketing and all other US marketing programs accounted for approximately $756,000. UK marketing expenses, excluding salary expenses, accounted for approximately $538,000. Finally, salary expenses for both the US and the UK accounted for approximately $1.7 million. Sales and marketing expenses as a percentage of revenue increased slightly to 55% in Q4 2005 versus 53% in Q3 2005. We will now discuss operating income, operating margin and net income. Operating income for Q4 2005 was $3.5 million, down 5% from $3.7 million for the same period last year. Travelzoo’s operating margin for Q4 2005 was 25.2% compared to 35.2% for the same period last year. Travelzoo’s estimated effective tax rate in Q4 2005, remains high a 56.7% compared to 48.4% in Q3 2005. The main reasons were the losses of our new UK business and the expenses related to the cash program. For financial reporting purposes both the UK losses and the cash program expenses were treated as having no recognizable tax benefits. Travelzoo’s net income in Q4, 2005 was approximately $1.7 million, flat, compared to Q4, 2004. Quarter-over-quarter net-income, decreased to 26% from $2.3 million in Q3, 2005. Our UK subsidiary incurred a loss of $584,000 in Q4, 2005, up from a loss of $363,000 in Q3, 2005. There were three main factors that contributed to the $240,000 increase in operating expenses in the UK from Q3, 2005 to Q4, 2005. Subscriber acquisition cost increased by approximately $118,000 in the fourth quarter of 2005, as we signed up more subscribers in Q4, 2005, compared to Q3, 2005, and average cost per acquisition increased from Q3, 2005 to Q4, 2005. Brand marketing and all other marketing programs increased by approximately $85,000 in Q4, 2005. Finally, salary expenses increased by approximately, $61,000 in Q4, 2005, as we hired additional employees during the quarter. As a result of the combination high SOX compliance cost in Q4, 2005, a loss from our UK business, a negative impact on revenues and bad debt expenses related to the bankruptcy filings of two airline advertisers and a higher effective tax rate, Travelzoo’s earnings per share for reach board 2005, increased only slightly from the prior-year period. Diluted earnings per share for Q4, 2005 were $0.10 up from $0.09 for diluted share for Q4, 2004. Cash flow from operations in Q4, 2005 was $2 million. DSO, the Days Sales Outstanding as of December 31, 2005 was 59 days, up from 56 days as of September 30, 2005. Total cash, cash equivalents and short-term investments as of December 31, 2005 increased to $44.4 million, from $42.7 million as of September 30, 2005. This concludes our discussion of Travelzoo’s Q4 2005 financial results. We will turn back now to Ralph, who will provide more information on the growth for the Company.
Ralph Bartel, Chairman, Chief Executive Officer, President, Chief Financial Officer: Thank you, Lisa. In the US we acquired subscribers at an average cost of $2.41 per subscriber in Q4, 2005, compared to $3.19 in Q3, 2005. In the UK, we acquired subscribers at an average cost of $2.02 per subscriber in Q4, 2005 compared to $1.68 in Q3, 2005. During Q4, 2005, Travelzoo added 904,000 new subscribers to its email publications including our popular weekly Top 20 newsletters and newsflash, Travel Deal Alert service, bringing our total subscribers in the US and in the UK to approximately 9.7 million. In the US, Travelzoo’s Top 20 newsletters and newsflash email alert service had a net unduplicated total of 9.4 million subscribers as of December 31st, 2005. This represents an increase of 15% versus the same time last year. Management believes that this shows that Travelzoo s able to successfully generate higher revenues as our reach continues to increases. This concludes the discussion of financial results and the growth in subscribers. Travelzoo’s consistent practice is not to provide guidance for future periods, because of the dynamics of the industry, therefore, this will conclude our prepared discussion and I will turn the call back to the operator, now for the question and answer session.
Operator:
Operation instructions:
Q: Hi, this is (Indiscernible) for Marianne. First question is, why are the unbilled revenues duo the bankruptcy filings and then secondly, why did you stop publishing newsletter at the end of the quarter?
A - Ralph Bartel: Good morning, Marianne. Lisa Su our Chief Accounting Officer will take the first part of the question and Holger Bartel, our Executive Vice President will respond to the second part.
A - Lisa Su: Hi, Marianne. The revenues that we delivered to clients that from bankruptcy was $264,000 in Q4, 2005, Holger will answer the second question, thanks.
A - Holger Bartel: Hi, Marianne. The question, when we published Top 20 newsletters in the last week of the year, always depends on which date, the Wednesday, as you might know we publish our Top 20 newsletters, always on Wednesday, this year the 25th fell on Sunday and 26th was a holiday. So, the interest of emphasizes to advertising in a week that is shortened by a such a holiday is lower, so we decided to rather run these ads on the 21st of December, or then in the following week on the 4th of January. So, the main reason is really operational reasons depending on which day the Wednesday after Christmas fall.
Q: Okay, thank you.
Operator: Our next question comes from Conrad Ben Tiaho.
Q - Conrad Ben Tiaho: How are you?
A - Ralph Bartel: Good morning, Conrad. How are you?
Q - Conrad Ben Tiaho: Very well. So, as it relates to the revenues this year with the bankrupt airline, is this – I meant have you, is there been any indication that you are not going to get paid or is this just being conservative?
A - Ralph Bartel: Lisa Su our Chief Accounting Officer will take this question.
A - Lisa Su: Hi, Conrad. Our Company policy is to not recognize revenue once those company have filed bankruptcy, this is the traditional GAAP policy that most companies do follow. We may still collect money on the $264,000 and hopefully we do. But, at this time, we have to take the assumption that we won’t get the money.
Q - Conrad Ben Tiaho: Okay, and now you still, are they still advertising in this quarter?
A - Lisa Su: In Q1, 2006? Actually on of those airlines no longer operating and the other one, I believe is going to be advertising in Q1 2006.
Q - Conrad Ben Tiaho: Okay, and then on the Sarbanes-Oxley stuff it sounded like there was $457,000 increase quarter-to-quarter and that the overall number was closer to $600,000, should we think about that expense as a end-of-year one-time or every fourth quarter type charge or should we annualize that sort of close to $600,000 number as a good number for the quarterly expenses for Sarbanes-Oxley?
A - Lisa Su: I will go ahead and answer that. We actually had expenses for the entire year for about $1 million for 2005. As you know this year was our first year filing to comply with Sarbanes-Oxley. We usually differs your cost a lot higher compared to the following year cost. Hopefully, in 2006 and on, we will be able to lower these costs. So, I really wouldn’t be able to predict how much it would be in 2006, and wouldn’t be able to predict how it would be in quarter-over-over.
Q - Conrad Ben Tiaho: Or should we expect it to be less than $1 million or so?
A - Lisa Su: I would hope so.
Q - Conrad Ben Tiaho: Okay, and then Ralph, may be you can just give us some idea of –it looks like it’s a year-over-year the US subscriber count was up 15%, than you had growth in SuperSearch and you added some international subscribers as well. And then revenue year-over-year was up 32 -- would have been 34 or 35 had not been for bankrupt airlines. As some new you can just talk a little bit about advertising pricing and what you are seeing on the, from what – essentially your ability to rise prices for advertisers or for the newsletters?
A - Ralph Bartel: Conrad I suggest that Holger Bartel our Executive Vice President, will take this question.
A - Holger Bartel: Sure, let me address this very good question on SuperSearch, let me start with that when pricing is determined to a vast degree by the advertiser similar to Google or Yahoo model where you can determine how you want to pay. We are certain, minimum. There we saw from Q4, 2004, to 2005, we saw an increase on the average price that are advertisers are paying 41%. We have increased – we have not increased prices on most products throughout the year of 2005, but we were running in some situation in Q4, 2005, we are some areas in the Top 20 newsletters, specifically hotels were sold out in a quite a few weeks. So, we decided to make some price increase as for 2006, particularly in the areas where we were sold out above our usual inventory levels in Q4, 2005. The other area where we have price increase throughout the year is our newsflash area, we actually saw our newsflash revenues go up 33% in Q4, 2005 versus Q4, 2004. And there because, the reach increases quarter-over-quarter and fee that the advertisers have to pay for every email that they sent out remains flatter, also increases. We have the all fact price increase in newsflash that we will see, our price increase newsflashes as well from 2005 to 2006. So, typically we do most price increase from on January 1st of the year and not so much during the year.
Operator: And our last question comes from George Mihalos.
Q - George Mihalos: Yes, hi guys. Can you talk a little bit about the launch of the German operation and perhaps some early costs that will be associated with that?
A - Ralph Bartel: Good morning, George.
Q - George Mihalos: Good morning.
A - Ralph Bartel: You noticed that we didn’t talk about the European strategy on the conference call today, we, as she just discussed that in the executive team and we think that talking about our strategy in Europe would extremely more helpful to competitors than to investors. So, we decided, that we do not want to share information on our strategy, in Europe. But, I can confirm is that company opened an office in Munich, Germany, on February 1st, so we plan to expand into Germany that’s a very important market for travel and travel advertising.
Q - George Mihalos: Okay, so, do you expect perhaps the pattern to somewhat nearer, the opening of the London office?
A - Ralph Bartel: Well certainly, what you see in the UK is start up situation. Of course, in the beginning we have higher cost, for example, US, we have to rent more office space then you need in the beginning and also a lot of money you spend in the UK on the subscriber acquisition and these expenses are, actually these costs are accounted for as operating expenses. But, the reality is we had subscribers in the UK and we will benefit from these subscribers for a longer period.
Q - George Mihalos: Okay, and just moving on, it looks the sequential growth in the UK was rather sub-due given it’s relatively new. It cannot be attributed to seasonal factors or is that something else there?
A - Ralph Bartel: Yes, we believe. As you look at the numbers it might give the wrong idea it still fluctuates a lot. The business started in May 2005, the first quarter. The second quarter, we generated $9,000 in revenue was than we went up to $368,000 and now $380,000. In Q3 we have one very large introduction order. And we had in Q4, we have a much more – we saw a much more diversified client portfolio with the good mix of introduction orders, so I wouldn’t draw conclusions from the small increase from Q3 to Q4, I think we have to wait for Q1 and Q2 2006, and than see how it goes.
Q - George Mihalos: Okay, and just last question. Can you give us the number of SuperSearch queries during the quarter or if can’t provide that figure, the growth perhaps in sequential basis?
A - Ralph Bartel: George, I suggest that Holger Bartel our Executive Vice President.
A - Holger Bartel: Okay, in 2005 we had 11,881,000 searches and that is up 41% versus Q4 2004. And just to reiterate what Ralph said last year. If you look at last year we had sequential growth from Q3 to Q4 for the Company overall that was much larger than what we are seeing this year or what we were seeing this year in 2005. Last year we still had effect of a growing SuperSearch tool that was just introduced a few months earlier, so last year we saw bit of sequential growth. But, in general, yes Q4 is definitely a seasonally always a quarter, where we are seeing less usage on the website, where we are seeing some advertiser holding of an advertising, in general. Our Q4 is a quarter where we some seasonal effect.
Q - George Mihalos: Okay.
Operator: I will turn back now to Mr. Bartel.
Ralph Bartel, Chairman, Chief Executive Officer, President, Chief Financial Officer: Ladies and gentlemen, we thank you for you support. We look forward to speaking with you again next quarter, have a nice day.
Operator: Thank you, ladies and gentlemen, this concludes today’s conference. You may disconnect your lines at this time and have a nice day.